Operator: Good afternoon. And welcome to the Sigma Labs Earnings Conference Call for the Year Ended December 31, 2017. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the internet and is also being recorded for playback purposes. A replay for this call will be available approximately one hour after the end of the call through May 6, 2018. I would now like to turn the conference over to Scott Gordon, President of Core IR and the Company's Investor Relations Firm. Please go ahead sir.
Scott Gordon: Thank you, Brian, and thank you all for joining today's conference call to discuss Sigma Labs' corporate developments and financial results for the year ended December 31, 2017. With us today are John Rice, the Company's Interim CEO and Nannette Toups, the Company's CFO. At 9 AM Eastern Time today, Sigma Labs released financial results for quarter and year ended December 31, 2017. If you have not received Sigma Labs' earnings release, please visit the Investor's page at www.sigmalabsinc.com. During the course of this conference call, the Company will be making forward-looking statements. The Company cautions you that any statement that is not a statement of historical fact is a forward-looking statement. This includes any projections of earnings, revenues, cash or other statements relating to the Company's future financial results, any statements about plans, strategies or objectives of management for future operations, any statements concerning proposed new products, any statements regarding anticipated new relationships or agreements, any statements regarding expectations for the success of the Company's products in the U.S. and international markets, any statements regarding future economic conditions or performance, statements of belief and any statements of assumptions underlying any of the forgoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Some of these risks are described in the section of today's press release titled cautionary note on forward-looking statements and in the public periodic reports the Company files with the Securities and Exchange Commission. Investors or potential investors should read these risks. Sigma Labs assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. It is now my pleasure to turn the call over to John Rice, Interim CEO. John?
John Rice: Good morning and welcome to our shareholders, and welcome to participants joining us for today's call. I'm the chairman of your company's Board of Directors and the Interim CEO, and the purpose of this call is to report to you on the Company's financial results and corporate developments for the 12 months ended December 31st. Today being April 6th, in Santa Fe, there is a lot of pollen in the air. So if you hear me or Nannette cough in or clearing our throats, forgive us please, its allergy season in the Mexico. So, as I have communicated to the shareholders in the past several months, the central theme of 2017 has been changed. We’ve had change in the market, change in our product, change in our culture -- our corporate culture, change in our management team and change in our operational strategies. During the fiscal year ended December 31, 2017, we generated an aggregate of 641,000 in revenues as compared to 966,000 in revenues for the prior fiscal year. This decrease in revenues was primarily due to the strategic reorganization of the Company's priorities and personnel over the second six months of 2017. Within four months of the successful public offering of February 2017, the Company's new Board of Directors determined that it was essential to transform Sigma from being an R&D company with an R&D culture into been a technology development and commercialization company with an aggressive marketing and sales culture. This imperative and the many changes that were required to implement it, derived from our analysis that the R&D culture could not meet, that demonstrated rapidly emerging business requirements of new and prospective customers for practical solutions to problems that they have now. More and more customers were not interested in 3D. In R&D, they were interested in 3D and so we go forward, nor could a R&D culture provide the technical product support and education to help new users to prove to themselves with our assistance, how to take advantage of our impressive quality assurance technology to improve yields and to cut costs, nor with our R&D company’s product development and customer service personnel group close enough to customers or indeed to each other, to bridge the gap between our advanced technology capability and our customers’ needs and expectations. And yes, our customers inevitable early stage technology adoption ignorance. They didn't know about in-process quality monitoring in this niche. So we had to adapt ourselves so that they could better use, better learn and better understand our advanced quality technology. And yes, two, we also found that the outstanding brains and talent of our R&D team has built what appeared to us on the board level then and still does today to be the leading In-Process Quality Assurance tool in the market for real-time 3D metal printing. It looked to us as we had absolutely the right people but perhaps on the wrong or in the wrong seats. So, commencing in the summer of 2017, the Company began a very rapid shift away from selling and supporting single PrintRite3D unit sales to customers who were focused on R&D, but had no material production of AM parts and thus no near-term need more PrintRite3D units. And the Company doubled down that time also on its technology. Mark Cola, a co-founder and at that time also the CEO and president of Sigma was appointed as Sigma Labs, Chief Technology Officer and President, and is now dedicated full-time to creating and implementing the Sigma Labs technology strategy. This change was made in order to accelerate and intensify the resources invested in PrintRite3D's rollout and to meet the absolute requirement that our installations via company by substantial ongoing technical and sales support for customers who are already manufactures of the 3D metal parts. Mike brought in a new Head of Engineering, Darren Beckett; Senior Software and Business Process Engineer from Intel to anchor the Software and Business Process prowess of this team. In November, Cola's strengthened and laser-focused team issued its first product update version 3.0, followed by 3.01 a month later and followed by 3.02 last week. So concurrent with Cola taking a full-time CTO role, I who was already serving as Chair of the Board was appointed to interim CEO on August 1st. My back ground is rich and successful operational surges restarts and turnarounds and fits Sigma's needs at this time. By September 1st, the Company strategy had about to a rigid policy requiring a 100% of sales and marketing focus on prospective customers who are already producing additive manufactured metal parts in production runs and who realized they have low yields than in some cases have stated worry that perhaps they are unwittingly shipping parts that are at least initially invisibly below specification. Now concurrent with this new sales focus policy of narrow customer focus, we work to integrate sales and marketing more closely into and with product development and with customers. This striate of customer sales and marketing and technology development team created an integration which allowed dedicated customer support for in-field hands-on support of our product with the customer going forward. We tried to define a simple universal process to enable customers to rapidly understand how our PrintRite3D fits with them, how it can be substantiated by third-party laboratory to affirm part by part, our quality test results and so forth. So, these fundamental changes in culture and business process and business strategy were a little bit like working on the engine of a new moving vehicle, but they were essential adaptations to us site changes in the market, changes in the AM metal manufacturing machines coming to market that are focused on productions, speeds and quantities, no longer just hand to prototype it. And an increase in our sophisticated customer base, awareness and deepen concerns of what we are beginning to hear is called the 3D metal quality. So for Sigma, all of these changes were opportunities, but none of these opportunities could be well-capitalized upon by a small R&D company. And the changes in Sigma that I have outlined above positioned our company to exploit these opportunities, and yes, these changes really did cost Sigma sales in 2017. As I heartlessly pushed a very determined and capable VP of Business Development away from R&D only customers, who were in the pipeline, who wanted to pick up PrintRite3D units, but would have taken too much of the dedicated resources from us. And we forced a transition in which we focused all of our people and all of our efforts on companies that are manufacturing 3D metal parts now and/or whose approval of PrintRite3D will logically lead to multiple orders for 3D machines in production. We simply do not have enough skilled people to service our high potential targeted customers as well as one-off sales to R&D customers. We also upgraded at the CFO level from an outside out-of-state consultant to an in-house experienced full-time CEO, Nannette Toups, who joined us in September, of 2017, bringing her strong experience as the CPA, and as the CPA who grew and to achieve financial officer in the technology startup that went onto exit by a merger. And for external focus, we've retained Frank Garofalo, who was the director of the Company and dedicated him as an M&A hunter to explore our strategy of broadening our technology, revenue and EBITDA base, particularly along the lines of the strategy of integrating the chain -- the links and the chain of digital design through digital post-process inspection. So while my strategic changes hurt third and fourth quarter revenues I do believe that they substantially lifted technology development product user friendliness and features rollouts. We exited 2017 more closely engage with high potential customers than ever before and with a stronger product than ever before. In the course of the year, we announced a new high potential. PrintRite3D installation number of times at major customers, these customers included Pratt & Whitney, which is a unit of United Technologies. UTC serves customers in the commercial, aerospace, defense and building industry, and ranks among the world's most respected and innovative companies. It’s a great name for our company to having our client roster and to look to as the potential long long-term from customer, other and similar opportunities installed in 2017 were solar turbines, which is part of Caterpillar, Siemens which is worldwide as both manufacturer of all kinds of industrial equipment as well as a great controls company, and Woodward. Each one of these companies are making or buying metal parts manufactured by additive manufacturing equipments. So going forward, we do expect our revenue will increase in future periods as we bear down on our targets and collaborate together with them and partially integrated teams to prove the efficacy of our product and to be ready to write their orders. And of course, this is a public company. There is no assurance that all of the proceeding will work as well as we would like, but I will say that we are confident in our people, we are confident in our product, and we are confident and positive of the markets needs for them. So with that, I am going to pass the call over to Nannette Toups, our CFO, who will now discuss our financial results for the fiscal year ended December. And then, we will open the call up for questions. Nannette, take it away.
Nannette Toups: Thank you, John. I will now discuss our financial results for full year 2017. During the fiscal year ended December 31, 2017, we recognized revenue of $641,000 as compared to $942,000 in 2016. That is a $301,000 or 32% reduction. The reduction in revenue was primarily due to a shift in customer base in keeping with the Company’s strategic shift in priorities that John spoke about just now. As we move from an R&D to a commercialization focus, the primarily programmatic sales of 2016 were replaced by early adopter program and original equipment manufacturers sales. These have correspondent incentivized pricing, which reduced our revenues. Cost of sales related to those for 2017 were 272,000 as compared to 229,000 in 2016. That is an increase of $43,000 or 19%. The increase is associated with the equipment cost of those initial EAP and OEM installations that we made in the second half of the year. Sigma’s overall operating expenses for the 12 month, December 31, 2017 were 4,421,000 as compared to 3,211,000 for the 12 months of fiscal 2016, a 1,209,000 or 38% increase. Sigma’s operating expenses are principally made up of internal operating and sales expenses outside service fees, and research and development costs. These three categories of operating expenses are responsible for 1,133,000 of our total $1,209,000 increase that is a 94% increase. So, those are the three areas that we will address next. The big contributor to our internal operating expenses was personnel costs. Our payroll expenses for the 12 months ended December, 31, 2017 were 1,269,000 as compared to 1,027,000 for the same period in 2016, that’s a 24% increase. The increase was primarily due to the increased salaries associated with the strategic new hires and the reorganization of the management team made to achieve the goal of doubling down on technology. The other significant contributor to internal operating cost is our stock-based compensation program. Expenses related to stock based compensation for the year ended December 30, 2017 were $720,000 as compared to 341,000 for the same period in 2016, that’s a 111% increase in stock-based compensation costs, and that increase is due primarily to two factors. The first is that the majority of stock options Sigma has granted after September 30, 2016, which significantly -- which caused significantly more stock option vesting amortization to be reported in the four quarters of 2017 than in that same four quarters of 2016. The second factor distributing to the increased amortization cost was the grant of a significant number of options with shorter than standard vesting periods as part of the earlier addressed realignment of key personnel. Utilizing stock and stock options to pay for services is one of the mechanisms Sigma has put into place and plans to continue to use to incentivize and reward those who can most powerfully contribute to Sigma’s targeted transformation while still preserving cash, that's personnel. The second biggest contributor to both total operating expenses and the increase in operating costs between 2017 and 2016 was outside service fees. In 2017, we paid a $1,229,000 in outside service fees compared to 935,020 in 2016, an increase of $295,000 or 31%. In each year, services in connection with our obligations as an SEC reporting company cost us slightly over $550,000. However, other legal fees of 333,000 were paid in 2017 compared to a 127,000 in 2016, an increase of 206,000 or $162%. The increase in these fees can primarily from our February 2017 public offering that resulted in net proceeds of approximately $5,225,000. The other outside service expenditures that increased materially in 2017 were those related to advertising and trade show activities. These amounts to a 154,000 in 2017 compared to 94 -- 95,000 in 2016, which is a 59,000 or 62% increase. Again that increase resulted from our shift in strategic focus toward scalable commercial rather than programmatic business development, which required us to be out there looking for partners and working with partners in a new way. Expenditures for research and development were the third contributor to increased operating expenses. They were 302,000 in 2017 compared to a 121,000 in 2016. This 181,000 or 150% increase resulted primarily from the incurrence of additional R&D consulting costs in our 2017 effort to accelerate technology development. When you combine the lower sales revenue, the higher cost of product and increased operating costs discussed above. Naturally, this resulted in an operating loss of 4,052,000 in 2017 compared to one of 2,498,000 in 2016. When we go below the line, our net income and expenses was a net expense of 526,000 in 2017 compared to a net income of 277,000 in 2016. The largest contributor to that 2017 loss was a $545,000 hit due to revaluations of derivatives and write-offs of discounts required as a result of the closing of the public offering in February, the restructuring of debt in 2017, and the December 2017 conversions by two of our debt -- our two debt instrument holders. This revaluation hit compares to a 355,000 positive contributions to other income and expenses from reevaluation of derivatives in the prior year. While these non-cash adjustments were all of the negative side there was a positive contribution in 2017 from an increase in the amount of tax incentives received from the state of New Mexico amounting to a $103,000 and 40,000 additional interest income from the notes we issued out of funds from the February 2017 public offering. These, however, were largely offset by a $122,000 increase in interest expense on the $1 million note that had originated in October of 2016. At the end of the year, we had on our cash sheet a 1 million -- I mean on our balance sheet, $1,516,000 in cash and a working capital surplus of $2,657, 000 as compared with $398 in cash and a working capital surplus of 38,000 as of December 31 2016. This improved working capital and cash position results primarily from the February 2017 raise of capital and the conversion of 400,000 of notes payable into common shares in December of 2017. While the end of 2017 with a strong balance sheet having approximately 3.4 million in asset and only approximately 0.5 million in liabilities, we have a strong desire to strengthen our cash position to ensure that we have the acquisition and spending power required to accelerate and intensify our technology development innovation and to execute the other components of our commercialization initiatives. To do that, we are actively engaged in negotiations and discussions to procure those necessary funds. That’s an overview of Sigma's financial position at December 31st. With that, I’ll turn the call back over to John.
John Rice: Thank you, Nannette, and well done. So, in conclusion there is a lot going on in Sigma, most of it good and all of the determined and focused. So, thank you for your attention and support of Sigma Labs, and operator, lets open the call for questions.
Operator: [Operator Instructions] And ladies and gentlemen our first question today comes from Kevin May. Please go ahead with your question.
Unidentified Analyst: Well, my first one is about our relationship with Morf3D. Their payment was due the 500,000 that we loaned to them or 10% of their company. What is our relationship like with them? And where is that -- where is that going exactly? Do you see them going to pay the cash? Or is it possible that they’d be willing to give us the 10%?
John Rice: They were willing to give us the 10%, but they were more anxious to hold onto it themselves. So, Morf paid off the 500,000 would interest on March 28th. We continue to be close to Morf. Ivan Madera has become a good friend and I think that we will -- that our futures are probably going to be bound together. They’re doing an innovation center that’s of real interest to us going forward. So I hope that the Morf story continues to Morf and do wonderful things.
Unidentified Analyst: And during the last Investor Conference, you did, I believe it was in January. It was stated that there was some internal disagreement with the payment structure of our software. Has this been solved? And what does that structure look like now?
John Rice: I'm not quite sure what you're referring to but I’ll speak to the issue. The current pricing of our software is called early adopter pricing and obviously it is crafted to try to get folks to commit early, and therefore not price the same, it’s based on what is the value of a research project that could cause us to buy somebody's products. And it’s not value pricing based on what is the -- what is the contribution of this product to an operating company that’s saving lots of money. So our pricing today is not what it will be tomorrow, is the simple answer. But there’s not a dispute about that. That’s an evolution that emerging technologies all have to go through.
Unidentified Analyst: And during this call, you explained how you set forth the transition from R&D into production companies admittedly even said that it caused a decrease in revenues the past two quarters. Where do you see this turning around in terms of a timeline and when does production structure begins to correlate into revenues?
John Rice: So, you’ve just invited me to make forward-looking statements and you’re -- it’s fair game to do so. Essentially, the meaning of what we did last year was to reposition the Company, so that the customers in whom it is investing, almost all of its service and customer support are people who -- if these tests go, we'll have a substantial incentive in our opinion to buy our product. A year ago we were engaged with a bunch of terrific companies doing research, but not doing production. So, the success with them was we will call you, when we start making so. So the turning point for us is no guarantee that the terms but the turning point for us is the people working with now has the ability to push our sales by buying more.
Unidentified Analyst: In terms of our recent collaboration signed. Can you speak on anything with the NIST collaboration as well as the LVN and our -- some of our older collaborations with Materialise and 3DSim now Ansys.
John Rice: Sure, Kevin, and to limit you that cuff you off at this questions, so other people can weigh in. But you've asked good question so thank you. First, the NIST opportunity is exciting into us because the whole industry is trying to move forward at the same time into a quality production setting and one of the major components of that is the materials. How do you characterize materials and how do you come up with uniform standards? Who can measure it and who can give you the information on this how they behave and so on and so forth? So our software, not sort of, is a unique tool for enabling that characterization, and NIST is a great honest broker through whom to be doing it. So that’s exciting. LVN is important to us because they have a foothold -- because they are based in Europe, and as one of the shareholders pointed out to me, their contractors to Airbus and the significance of Airbus in the market these days is that they have announced that they expect to be taking delivery. In this case from themselves of 30 tons of additive metal parts a month by December of this year. So, we're hopeful that LVN is the channel, which that ship with our shareholders suggested it might be. I cannot comment at this point on Materialise except to observe. They're really good company and we're really interested in them. Next question?
Operator: Our next question comes from Paul Tumarkin [ph]. Please go ahead with your question.
Unidentified Analyst: Good morning, John. My question goes to the shift from people with prototype who do research to people who looking at production. I'm wondering what kind of feedback they are getting with your increased contact with these companies where you're demonstrating PrintRite to them? What kind of feedback are you getting from them?
Unidentified Company Representative: Paul, I did not coach you to ask that question, but thank you for asking that. There has just been really important to us. The part of our internal reshuffle has been to first for the Company, it's a small company. We got 13 people in it to work essentially as an integrated team with the customer. So the customer feedback we've been really pleased with and we have also -- it's been an important reciprocal mutual experience. The customers have asked us and Mark has created actually an education program for them. It's a two-day seminar that we are beginning to roll out because companies that we need -- you need to school us up. So we know what we're doing with you. That is terrific and that occurred because the customer asked for it. And the customer asked for it because they are fascinated by what they are seeing and have found a need to better understand what they are seeing. We have found that there are a number of companies in our space and particularly the OEM companies who have probes and machines and gathering data, and the production oriented people who want to know what the data means. And to the best of our knowledge, Sigma is the Company that is able to do that with them. So, we are getting very good feedback and we are gratified by that. And I have to tell you that our customers are making us a better company because of this cooperation.
Unidentified Analyst: [Indiscernible] within the feedback, is there any information that they're giving you as to why they're not going ahead, pulling the trigger and ordering more currently units? And what are they're waiting for?
John Rice: As you are familiar I think the quality culture in America is a very powerful change of verse culture. In the case of 3D printing metal parts, it's a very complex culture because those who have done the most work in it are doing and awful lot of a very expensive post process inspection, which they backfill with very slowly overtime to slowly improve their quality. But as best we can tell, a good quality result yield in this domain for people who have high-technology parts looks to be in the 60s. So, we are dealing with people who have struggled to get to an unsatisfactory point. So, they are very interested in finding tools like ours that will help them do better than that. And they are also very resistant to rapid change because they don't want to screw up what they have worked so hard to get. So, our solution to that all has been to define with each one of these companies a path forward. What do you need to know in order for you to think you need our product? And what is the process we are going to do together to implement that? And so, that’s what we have done and it is typical of those companies to come back and say, this looks like a six months deal to us and it's typical of us to say let’s do that faster. And that is a bit of an arm wrestle. One of the problems that these companies have had is implementing the decision to start it. They -- at the buying level the folks who introduced us into the production setting are anxious to get going, and the production and research folks were doing other things and have other obligations. And so, we have found getting the initial start is not as fast as we would like, even as also, the amount of time we think it should take for them to learn is less than they think it will take. And so -- and so we go, but I think that 2018 is likely to shed an awful lot of light and to help us truncate this process, more than we were able to the earliest adherence.
Unidentified Analyst: In light of the stocks were versioned to PrintRite have been issued. How many of the installations they are out have taken advantage of these updates and [indiscernible]? How many have software that not them of current?
John Rice: The connection is so bad. Did you understand what he said?
Nannette Toups: Not quite except I think, you are asking how many of the installations out there have are most current versions? And how many have older versions?
Unidentified Analyst: Yes, exactly.
John Rice: Nannette was clearly better. Paul, if you're on a speaker phone go…
Unidentified Analyst: No, I am not.
John Rice: You sound to be -- if you are not well, we'll send somebody to get you.
Unidentified Analyst: No, it's not that bad, not that bad yet.
Nannette Toups: Better, you're better now.
John Rice: So, what that what we’re -- we are in the process of trying to roll people forward into the three -- the three series. Our tech team is moving fast and we are at a point where we are able to release upgrades and improvements in new versions faster than we can install and implement in the marketplace. So, there is a bit of a lag. But the 2.0 is with all functioning sites, 2.0 and higher are what is deployed. None of the early stuff is out there anymore.
Unidentified Analyst: Recently, John, had indicated that you'll all have obtained access for a multi-laser machine has start developing the software for PrintRite to work with multiple lasers. Then I've heard you comment on late stage that software examined, if there’s any anticipation of when that might become available?
John Rice: Did you get that?
Nannette Toups: Yes, the new version that we’ll be able to work four lasers at a time where we're in that development?
John Rice: We’re in that development.
Unidentified Analyst: Can you offer any more detail about that?
John Rice: Usually when you hear an answer like that, it means that somebody likes what's going on, not that they don't like what’s going on. Yes, I mean what we’re doing across the board is adapting very rapidly to the evolution, the rapid evolution in the market with production. As you have no doubt read additive industries with whom we have a strategic relationship and an OEM relationship is a multiple laser - has multiple laser equipment, so you could reason that we're probably heavily up to our years on multi-laser technology.
Operator: Our next question comes from Mark Roop [ph]. Please go ahead with your question.
Unidentified Analyst: I've got three questions. One -- I've three questions so the first one kind of is a forward-looking statement, but the UN actually anticipate 2018 is the year that Sigma Labs will announce their first sales of PrintRite3D for actual production operations in the world.
John Rice: It would certainly surprise me as it wasn't.
Unidentified Analyst: Okay, set met, next to kind of for I've been following the additive manufacturing industry for six or seven years now, and two things that have always been confounding to me. One, over the last handful of years there have been some fairly sensational public announcements of investments made by moneyed entities into companies pursuing the technology and additive manufacturing for power evaluations, printer machine design, part design, frontend engineering everything except In-Process Quality Assurance. What is the reason why the world has not been Sigma Labs and PrintRite3D to be valuable enough to actually invest into it to get this technology going out there? What are your thoughts on that?
John Rice: Mark, some aggressive and forward-looking folks have invested in Sigma. So, the early adopters and the visionaries I think are with us. The development of metal parts manufacturing is led by large very high-technology companies, mostly in the aerospace sector they would go really begin pushing this along. And the barriers to entry for them have cause things to go slow. First of all to rollout something like the fuel nozzle for production as GE did, requires a substantial upfront capital investment of plus or minus million bucks a machine on this single laser technology in multiple ways of technology a million for or more. Second, the industry was slow, you heard me earlier in this call refer to the additive manufacturing metal parts problem. That problem has only begun to have a label that I have heard the past eight months. It was taken for granted that these are CMC machines and people I think look to the model of the classic machine shops of effective manufacturing. I think if you put in the machine and it will come out right. And I think that sophisticated folks in the industry as well as the investment community have been focused on in-process quality monitoring as a big deal. But it has been hidden behind the large-scale other issues of the expense of setting up for a whole new production line on a very capital-intense basis, for products that you then making very small lots. This is a big cultural and technical shift for a company to make, you have seen if happened.
Unidentified Analyst: So do you think that now that its front and center that’s may be some enquiries into how to invest in Sigma Labs in a much more meaningful ways? I mean you guys obviously are going to need money to roll this out in the way that you see it should be rolled out. Now is the time I mean, do you anticipate that coming? Or do you anticipate the potential for large investments into the Company?
John Rice: That’s entirely possible and foreseeable. I think you need to talk with our investment bankers, Dawson James, and they can lead you along.
Unidentified Analyst: So, last question. I’m seeing many instances where there is reference or reporting on other evaluations or instances in-process quality technology being looked at or worked on for development or evaluated in some way, and these are all not Sigma Labs and PrintRite3D. For instance, we just recently heard that Honeywell has anointed Sintavia for AM production and yet, there is no mention of in process quality assurance technology. No mention of Sigma Labs. I guess this is a two-part question. Is Honeywell going the way of GE Aviation and a missed opportunity or that it just didn't pan out? The second part of the question is, how are the other efforts out there and metal AM manufacturing that are using or looking at in-process? How are they not involving PrintRite3D? How can that even be possible? I mean are your patents open enough that these other efforts feel like they have room among the patents to take a position? Or are they just not knowledgeable of Sigma Labs and the technology? How is always happening in Sigma Labs is not part of it all?
John Rice: Well, Sigma Labs is more of part of it all than is apparent to many and at the moment that includes you. So, we actually worked very closely with Honeywell, have for some time and are committed going forward on a number of initiatives. The Honeywell is in the process of qualifying as is Boeing qualifying people like Sintavia, service bureaus to do their work. When they do that, they’re not -- what they're doing is confirming that these people that have the quality and capacity for conventional manufacturer and for 3D manufacturer that is state of the moment. It does not mean that they will not require them to use in-process quality monitoring when they give them an order as part of the specification or give them post process inspection procedures that they have to go through that will be so expensive that the service bureaus will of their own accord be migrating towards in process quality. So whether it is push or whether it is pull, we are confident, it’s coming. No deal that we’ve seen has -- like the Sintavia deal has been in anyway preemptive or excluding of Sigma.
Unidentified Analyst: Okay, thank you sir.
John Rice: Your question of the patents is interesting. Certainly, this is a well established not new technology, but our niche of 3D manufacturing is in terms of intellectual property, patent protection is relatively new. So, Sigma has over a dozen patents applied for but almost all of them are in process. And so, our competitors don't know what we have because until the patents issue, they can’t read them. And so, on the IT front, this is a bit of a frontier still.
Unidentified Analyst: So, the fine is yet to come then?
John Rice: Pardon me.
Unidentified Analyst: So, the fine is yet to come then, when it comes time to apply all sorts of patent?
John Rice: Oh, absolutely, yes. Company looking at a -- a large company looking at a small company like Sigma in the future, if they were looking at acquisitions, would be as interested in the patent protection that comes with Sigma and prevents their large competitors from violating them, as they would be and been able to use Sigma’s technology, so the theory is that this is of enduring value.
Operator: Our next question comes from David Robertson [ph]. Please go ahead with your question.
David Robertson: John, there has been some discussion amongst Sigma investors particularly of late about competing products and I actually thought that was where the last caller was headed with his question. In particular, we’re hearing and reading about EOS technology or products that I believe that goes by the name EOS state note tool and there also has been some focus and discussion on massive in situ technology to delay folks such as myself and lots of others out there. When we read descriptions, I think of the technologies they appear to be described very similarly to PrintRite3D. What can you -- how can you help us to better understand and get our hands around a bit better than we might be able to our own? The difference is, you folks have, I think have said that to the best of your knowledge were at the head of the pack. How is our technology ahead of these other programs as far as you're aware?
John Rice: And yes, thank you got me tiptoeing on this one. So as you know, if you visualize looking in the window of metal and manufacturing machine. There is actually not lot going on in there. You’re looking at the bright light of a laser a bed of powder and a melt pool. So the question is, how much can you learn in that simplistic setting. And as tended to be the case in the past couple of years that more and more of the equipment manufacturers have been putting probes in there to monitor the melt pool. And there various claims as to what their products do. And the bottom line from Sigma's point of view is none of these folks seem to know what to do with what's with the gathering data, you can see can gather data visually or thermally in any number of ways. But the question is what is actionable data, the question is do you know the meaning of what you are looking at. And so far as we can tell that is the barrier between where Sigma is and where they are. They can show you a picture of the melt pool, they can tell you it's melting, but they don’t seem to yet understand what information can be taken away and acted upon.
Unidentified Analyst: So then John would you -- then it'd be fair to say that that our advantage could be characterized as one of expert knowledge almost more for my consulting standpoint as opposed to our superior technology. And if you could consider, I asked the question within the context of the existing patent applications. Can you help us understand, if our advantages is in telling folks what to do with information, as opposed to the technology that collects the information? How can you -- how does that relate to patents that we've applied for and are hopeful?
John Rice: Now, I’m up on point as opposed to merely tiptoeing. Alright, so what we've endeavored to do with our patents is to focus essentially on process or method patents. And differentiator so far between Sigma and the products with which we are aware of nor aware of in some detail of everything you named there, the difference is that the competing products are composed primarily of sensors and software, and the science here that’s critical its metallurgy. And Mark Cola, the guy, our co-founder and CTO, is a metallurgist, as was his co-founder also in that skill set areas. So knowing what you are seeing and what it means and what to do with it is the essence of In-Process Quality Assurance and that is our strength.
Unidentified Analyst: And is it conceptual matter, is knowing what to do with something? I guess it’s a bit of foreign idea than me and I’m not an IP guide, but is knowing what to do with something a patentable concept or patentable thing?
John Rice: Yes, if somebody else hasn’t done it, patented it at first it's generally is.
Unidentified Analyst: So that is what’s known and I think you used the term just a moment ago of process patent that’s what we are talking about?
John Rice: At often is, I really have to be careful on this area. You are going companies on this way. The IP is the heart of our value. It's not -- so, I want to help you understand it, but I don’t want to help you understand it too well.
Unidentified Analyst: So with that promise of course, you believe that our position in the likelihood of granting of some of these essential patents is high and is on the increase?
John Rice: I can't answer that question in the terms you asked it, but I can answer this way. The company’s patent firm is Kilpatrick Townsend which is one of the top patent firms in the country, in the world. And they are good, very professional team with a terrific track record of success in this area.
Unidentified Analyst: And do those folks lead you to believe that they think we are in pretty good standing.
John Rice: Well, yes. We are not going to file a patent. It based at we don’t think as you have got something here, we are not going to waste our money disagreements. So, everything we've done with them has been based on their belief that has a valid and appropriate thing to try to patent and has a reasonable chance of success. And reasonable chance of success in a domain is expensive is not in a 50-50 area.
Unidentified Analyst: John, from the financing standpoint with the need for additional funds, is there as much -- are you folks looking in a serious way about private sort of placement funding as an alternative to additional public share issuance?
John Rice: Yes.
Operator: [Operator Instructions] And ladies and gentlemen, I am showing no additional questions. We’ll conclude today's question-and-answer session. I’d like to turn the conference call back over to John Rice for any closing remarks.
John Rice: Well, I want to thank everyone who joined us on this call for doing that. We really appreciate the way people take an interest in our company. We appreciate how serious a group of people you are, and how curious, and it helps us that you support the Company. It helps us that you challenge us and ask questions. So, thank you for being here and thank you for asking and stick with us, and keep pushing us, and we’ll try to justify. Thank you and you all have a wonderful day.
Operator: Ladies and gentlemen, the conference has now concluded. We do thank you for attending today's presentation. You may not disconnect your lines.